Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Genuine Parts Company 2012 Fourth Quarter and Year-End Earnings Release Call. [Operator Instructions] I will now turn the call over to Carol Yancey, Executive Vice President, Finance and Corporate Secretary. Please go ahead.
Carol B. Yancey: Thank you. Good morning, and thank you for joining us today for the Genuine Parts Fourth Quarter Conference Call to discuss our earnings results and the outlook for 2013. Before we begin this morning, please be advised that this call may involve forward-looking statements regarding the company and its businesses. The company's actual results could differ materially from any forward-looking statements due to several important factors described in the company's latest SEC filings. The company assumes no obligation to update any forward-looking statements made during this call. We will begin this morning with comments from Tom Gallagher, our Chairman and CEO. Tom?
Thomas C. Gallagher: Thank you, Carol, and I would add my welcome to each of you on the call today and to say that we appreciate you taking the time to be with us this morning. This is a significant call for us in many ways, but none more so than the fact that this is Jerry Nix's final call. As you know, Jerry will be retiring at the end the month after 34 years with Genuine Parts Company, the last 13 as our Chief Financial Officer. And in looking back, it's interesting to note that Jerry has been on every quarterly conference call since we began doing them in February of 2011, so today is Jerry's 49th call. He's also been on every investor trip and involved in every analyst meeting for over 25 years, and I think it's fair to say that Jerry has been the face of GPC with the investment community. And he has earned the respect and the admiration of all that he has come in contact with, both inside and outside of our company. He will be missed, but we're grateful to him for all that he has contributed to our company over the last 34 years. Now we are fortunate to have Carol Yancey taking over as our Chief Financial Officer when Jerry retires, and many of you know Carol because she's been a part of GPC for 22 years. And along the way, she's spent several years as Director of Investor Relations. Over the past several years, she and Jerry have worked very closely together preparing for this transition, and she is very well-qualified to be moving into the CFO role. Jerry and Carol will split the reporting duties today; and Paul Donahue, who is also on the call, and he'll give us an update on the performance of the Automotive operations. Early this morning, we released our fourth quarter and year-end 2012 results. And hopefully, you've had an opportunity to review them. But for those who may have not seen the numbers as yet, the quick recap shows that sales for the quarter were $3,119,000,000, which was up 3.5%. Net income was $160.2 million, which was up 19%. And earnings per share were $1.03 this year compared to $0.86 in the fourth quarter of 2011, and EPS increase was 20%. And this enabled us to end 2012 with sales of $13,014,000,000, which was up 4.5%. Net income was $648 million, which was up 15%. And earnings per share were $4.14 this year compared to $3.58 last year, and that's an EPS increase of 16%. These are all records for us in sales, net income and earnings per share. But clearly, we continue to experience some top line challenges in the fourth quarter, and they were a bit more pronounced in the Industrial and Electrical segments. Although the 3.5% revenue increase in Q4 was our softest revenue quarter of the year, we were pleased that our folks operated well and still produced double-digit increases in operating profit, net income and earnings per share for the quarter and for the year. A review of the sales results by business segment shows that our Industrial business was up 2% in the quarter and up 7% for the year. After being up 22% in 2010 and 19% in 2011, a 7% increase in 2012 shows meaningful deceleration. And then looking back over the course of the year, we saw demand moderation as the year progressed. After being up 12% in the first quarter, the Industrial operations were up 8% in Q2, 4.5% in Q3 and 2% in Q4. These trends are consistent with what we have seen across the industry, and it's interesting to note that the fourth quarter slowdown became a bit more pronounced in the final weeks of the year. Power transmission, hydraulics and electrical and automation products were among the best performers from the product category for the year. And automotive, iron and steel, lumber and wood products were among our top-performing customer segments. Conversely, customers in the coal, aggregate and cement, equipment and machinery and equipment rental and leasing segments lagged our overall performance for the year. As we look at the predictive indices, like industrial production and capacity utilization, we see that they remain at historically healthy levels, which is encouraging. At the same time, however, a more cautious attitude seems to have developed among our customer base over the latter part of the year, and our expectation is that this will carry over into the early part of 2013. With that said, however, we do feel that the manufacturing segment of the economy, which is our customer base, is generally healthy and growing, and this bodes well for our Industrial business in the year ahead. Staying within the manufacturing sector of the economy, EIS, our Electrical/Electronic distributor, also experienced a sharp slowdown in the fourth quarter. After being up 5% in Q1 and then 9% in the second quarter, followed by a 5% increase in the third quarter, EIS was down 2% in the fourth quarter and ended the year up 5%. And as with Motion, the latter part of the fourth quarter proved to be the most challenging. One of the external indices that we closely follow is the Institute for Supply Management Purchasing Managers' Index. This is usually a pretty good leading indicator for our Electrical business. As a matter of information, the PMI averaged 57.3 for all of 2010, and our Electrical business was up 30%. In 2011, the PMI averaged 55.2, and we were up 24%. For 2012, the full year PMI was 51.7 or perhaps more significant is the fact that the last 7 months of 2012, the average has been 50.4. This is a fairly typical number, and it's indicative of the slower end-market conditions that our Electrical/Electronic operations are experiencing right now. As with our Industrial business, we think that these conditions will persist for another quarter or 2, but we remain optimistic about our Electrical segment turning in a solid performance in 2013. Moving on to Office Products. We actually had our best quarter of the year in Q4. After being down 1.5% in the first quarter and down 1% in quarters 2 and 3, S.P. Richards was up 3% in the final quarter, and this enabled them to end the year even with the prior year. Both the independent dealers and the Mega customers had positive results in the fourth quarter, which was good to see. And on the product side, cleaning and break-room and furniture had the strongest results in the quarter. We were pleased to all 4 product categories, cleaning and break-room, furniture, technology and office supplies end the year with positive fourth quarter results. Although the Office Products environment continues to be challenging, with the plans and initiatives that S.P. Richards has in place, we look for a year of moderate growth from this segment of our business in 2013. So that's a brief overview of our Industrial, Electrical and Office Products businesses. And at this point, I will ask Paul to give you an update on the Automotive operations. Paul?
Paul D. Donahue: Thank you, Tom, and I'd like to add my welcome to each of you this morning. I'm pleased to join Jerry, Carol and Tom, and to have the opportunity to provide an update on the fourth quarter performance of our North American Automotive business. As you know, Automotive is the company's largest business segment. And we ended the fourth quarter with sales up 5%, which has improved from the 2.5% growth that we reported for the third quarter. For the 12 months ended December 31, our Automotive business finished up 4% over 2011. The 5% revenue growth in the fourth quarter includes relatively flat comparable store sales and a positive sales contribution from our acquisition of Quaker City Motor Parts. Sales to our commercial accounts, the dominant segment of our business, continued to outpace our retail sales. We did not see significant changes in the external factors, which continue to impact our industry in the quarter, headwinds related to the mild winter temperatures in the northern half of the country, along with the ongoing uncertainties surrounding the economy and consumer confidence seemed to persist. Consistent with the past 2 quarters, our results varied significantly by region of the quarter -- by the region of the country in the fourth quarter. In the traditional cold weather regions, our Central, Midwest and Eastern divisions, which comprised over 1/3 of our overall business, they consistently underperformed the other regions across the U.S. Although the comps from these regions were consistent on a sequential basis, the regional disparity remained significant and impacted key weather-sensitive product categories in these regions. On a positive note, we believe that a return to more normal winter weather patterns, which we are beginning to see play out, should drive a potential upswing in demand over the next several months. We remain pleased with the positive contribution from Quaker City Motor Parts, which we acquired back on May 1 of this year -- of 2012. Their fourth quarter and year-to-date sales contributions were in line with our expectations, and we are excited with the opportunities that Quaker City will provide us in the future. Our Quaker City team and our strong group of independent owners are energized and focused on our key initiatives to drive growth in 2013. As we mentioned earlier, our commercial business continued to outperform our retail business in the fourth quarter. Within our company-owned store group, the commercial side of our business ended the quarter up 1%, consistent with our growth in this segment in the second and third quarters. Non-fleet-related business performed reasonably well, generating a 4% increase, led by our NAPA AutoCare and our Major Account business. The increase in our average ticket value drove the gain, while our average number of invoices was flat. Turning to our retail business. Sales were down mid-single digits in the quarter. So while we are not pleased with our retail performance, we are encouraged by the initiatives our team has put into place to positively impact our retail sales in 2013. We have seen over the past few quarters a slight downward trend in our average number of invoices per day, while our average dollar value increased. We believe this to be consistent with retail sales trends, both in the aftermarket and retail in general. So as we look forward to 2013, we expect a more normalized winter weather pattern to improve demand. We are pleased to note that while it's still early in the year, we are seeing improved sales trends in the northern half of the U.S. We are also seeing a pickup in sales in some of our winter-related product categories, such as our batteries and our rotating electrical categories. The aging vehicle population continued growth in the number of older vehicles and the positive year-over-year miles driven numbers, up 0.006% through November, bodes well for the automotive aftermarket. And we feel NAPA is well positioned to capture its share of the increase in demand generated by these positive trends. So in summary, overall demand in the automotive aftermarket in the fourth quarter proved similar to what we experienced in the second and third quarters of 2012. We remain positive about the core fundamentals impacting the automotive aftermarket and our Automotive Parts Group. These positive industry fundamentals, coupled with our internal growth initiatives, provide us ample growth opportunities for 2013 and well into the future. So that completes our overview of the Automotive business in the fourth quarter and for 2012. And at this time, I will hand it over to Jerry to get us started with our review of the financial results. Jerry?
Jerry W. Nix: Thank you, Paul. And Tom, I want to thank you as well for those kind remarks. It's been a lot of years and a lot of calls, and we've built many great relationships, which I'll certainly miss. And most important is that Genuine Parts is in good hands with Tom and Paul and so many other excellent leaders across our businesses. Certainly, Carol fits in, in that category, and we're very fortunate to have her assume the role of CFO. Carol and I worked together for all of her 22 years with the company, and I can tell you she is one of the best and brightest and very prepared to lead this company as CFO. So we appreciate you joining us on the call today. And to move things along, I will first review the fourth quarter and full year income statements and segment information, and then Carol will pick up to review a few key balance sheet and other financial items. Tom will come back to wrap it up, and then we'll open up the call up to your questions. The view of the income statement show the following: Total sales of $3.1 billion for the fourth quarter and that's an increase of 3.5% from last year and is relatively consistent with the third quarter increase. For the year, total sales reached another record high of $13.0 billion, which is up 4.5% from 2011. Although the sales environment grew more challenging for our Industrial and Electrical businesses in the fourth quarter, our Automotive sales held steady, and the Office Products Group posted their best quarterly results for the year. We remain confident in our growth initiatives and are planning on another year of respectable sales growth again in 2013. Gross profit for the fourth quarter was 29.2% of sales, and that's down approximately 40 basis points from the fourth quarter and 2011. But for the full year, gross margin of 29.0% was up about 10 basis points from 28.9% in 2011. So despite the decrease we experienced in the fourth quarter, which we attribute that to the competitive sales environment overall and lower levels of vendor incentives at the Industrial Parts Group, we're pleased to show at least slight progress with gross margin for the year. Our ongoing initiatives to effectively manage the supply chain cost, increase distribution efficiencies and maximize our pricing potential offer us additional opportunities to further improve our gross margin, and our management teams across all of the businesses are committed to this effort. For the year, our cumulative pricing, which represents prior increases to us, was a negative 0.003% in Automotive, plus 1.6% in Industrial, plus 2.7% in Office Products and a negative 0.001% in Electrical. Now turning to SG&A. Total expenses, $659 million in the fourth quarter, is down 2% from 2011 and at 21.1% of sales versus 22.6% in the fourth quarter last year. For the year, total SG&A expenses, $2.8 billion, that's up 2% and at 21.2% of total sales compared to 21.8% for the same period in 2011. Our management teams have done an excellent job of managing our expenses throughout the year and our ongoing cost saving initiatives have yield much of the improvement on this line. We continue to control our cost from ongoing investments in technology, which has positively impacted the operating efficiencies in our distribution centers and stores, as well as supply chain initiatives in such areas as freight and logistics among others. Additionally, in December of 2012, the company's pension plan was amended to freeze future benefit accruals for all participants effective January 1, 2014. In connection with this amendment, the company recorded onetime noncash curtailment gain of $23.5 million, which is included on our SG&A line for the fourth quarter and the year. So throughout the organization, we made solid progress in controlling our expenses, and we'll continue to assess and align the proper cost structure of our businesses as we move through the year and beyond. Now let's discuss the results by segment. For the fourth quarter, Automotive had revenue of $1,531.6 million, up 5%; and operating profit of $122.5 million, up 36%. So outstanding margin expansion there from 6.2% to 8.0% of sales. The Industrial Group for the quarter had revenue $1,054.8 million, up 2%; operating profit $78.1 million, that's down 12%. So margin degradation there from 8.6% to 7.4%. Office Products had revenue for the quarter $402.9 million, that's up 3%; and had operating profit of $36.4 million, that's down 5%. So again, margin deterioration from 9.7% to 9.0%, which is still outstanding operating margin for that business. Electrical Group had revenue in the quarter of $135.4 million. That was down 2%. They had operating profit of $12.5 million, and that's up 21%. So just superb operating there going from 7.5% to 9.2% operating margins in the quarter. Now for the year, Automotive had revenue $6,320.9 million, and that represents 49% of the total and is up 4%; operating profit of $540.7 million, up 16%. So again, just super margin 8.6% from 7.7% of revenue the prior year. The Industrial Group had revenue for the year of $4,453.6 million, and that represents 34% of the total and is up 7%. The operating profit $352.1 million is up 4%. So slight margin decrease there from 8.1% to 7.9%. Office Products had revenue for the full year of $1,686.7 million, represents 13% of the total and was down 0.002%. They had operating profit of $134.4 million, and that was up 0.002%. So a slight margin improvement for the year of 7.9% to 8.0% of sales. The Electrical Group had revenue for the full year $582.8 million, representing 44% of the total, and that's up 4.5%; and operating profit of $50.9 million, up 25%. So record operating margin for the Electrical Group at 8.7% of sales. Total operating profit was up approximately 10% in the fourth quarter, and operating profit margin improved 50 basis points to 8.0% from 7.5% in the fourth quarter of 2011. Now this follows margin improvement of 70, 40 and 20 basis points for the first, second and third quarters of 2012, respectively. Our total operating margin for the year is 8.3%, and that's up 40 basis points from 7.9% last year. We're extremely pleased with this level of margin expansion and continue to believe that we have additional opportunities to expand the operating margins again in 2013 although more likely in the range of 10 to 20 basis points. We had net interest expense of $4.9 million and $19.6 million for the fourth quarter and the year, respectively, which is down from 2011 due mainly to the new lower interest rate on our $250 million debt agreement that was funded in November of 2011. We'll discuss our debt position later, but we're currently expect our net interest expense to approximate $28 million again in 2013. Beginning in this quarter, we separated our amortization from the other category as our amortization of intangibles was more significant in 2012 due to the Quaker City acquisition. Total amortization expense was approximately $4 million and $13 million for the fourth quarter and the year, respectively. The other line now represents corporate expense and noncontrolling interest and was $11.2 million in income for the fourth quarter and is $26.6 million expense for the full year. This is much improved from 2011 and primarily reflects the pension curtailment gain discussed above. Additionally, the income associated with our 30% investment in Exego was accounted for on this line. For 2013, we currently project the combination of the amortization and other lines to be in the $60 million and $70 million expense range, which will be relatively consistent with 2012 before the curtailment adjustment. For the quarter, our tax rate was approximately 36.4%, and that's up from 35.8% last year due to the nontaxable status of a favorable retirement plan adjustment that was recorded in the fourth quarter of 2011. For the full year, 36.4% rate compares to 36.6% for the same period in 2011, and we expect our full year tax rate for 2013 to be in the range of 36.0% to 36.5%. Net income for the quarter $160.2 million, and that's up 19%. EPS increased to $1.03 compared to $0.86 last year, and that's up 20%. For the year, net income is up 15%. EPS of $4.14 is up 16% over 2011. Excluding December 2012 pension curtailment gain discussed earlier, net income was up 8% to $145 million for the fourth quarter and was up 12% to $633 million for the year. EPS, before the adjustment, was up 8% to $0.93 for the quarter and was up 13% to $4.05 for the year. Now this record level of earnings achieved in 2012, both before and after the pension gain, reflects the third consecutive year of double-digit earnings growth for the company. We want to recognize all of our associates at Genuine Parts Company for achieving this significant milestone. We're extremely proud of their accomplishments. So with that, I'll turn it over to Carol to touch on a few key balance sheet items.
Carol B. Yancey: Thank you, Jerry. And before I begin my remarks, I want to thank everyone for the tremendous opportunity. I'm very appreciative, and it's been nothing but a pleasure to work with Jerry for all these years. We've had a very well-planned and prepared transition, and I look forward to the opportunity. We'll start off with a discussion of a few key balance sheet items. Cash at December 31 was strong at $403 million, which is consistent with our cash position at September 30, although down from the $525 million at December 31, 2011. Our current cash position reflects strong cash flows for 2012 resulting from our increase in earnings, effective asset management and cost reductions. This was offset by the more than $500 million used in 2012 for several investing activities, including our January 1 investment in Exego, the leading automotive distribution company in Australia and New Zealand; the Electrical Group's Light Fab acquisition on February 1; and the Automotive Group's Quaker City acquisition that was May 1. Accounts receivable of $1.5 billion at December 31 increased 2% from 2011 on a 3.5% sales increase for the fourth quarter. Our goal is to grow receivables at a rate less than revenue growth, so we are very encouraged by our progress with receivables. We will continue to remain focused on this area in 2013, and we're very satisfied with the quality of our receivables at this time. Inventory at December 31, 2012, was $2.6 billion, up approximately 7% compared to December 31, 2011. Primarily, this increase relates to the impact of our acquisitions in 2012. And without acquisitions, our inventory grew by just 2%. We continue to believe that our team is doing an excellent job of managing our inventory levels, and we remain focused on maintaining this key investment at the appropriate levels as we move through 2013. Now we will add here that our comparisons to the prior year's inventory reflect the revisions to our 2011 balance sheet that we previously disclosed in our third quarter 10-Q. Our accounts payable balance at December 31 was $1.7 billion, which is up 17% from the prior year. The significant increase in trade payables reflects the impact of our extended payment terms and other payables initiatives negotiated with our vendors. We're very pleased with our progress in this area. Improving our payables position has always been an important priority for us over the last couple of years, and it's had a positive impact on our days and payables. Working capital of $2.3 billion at December 31 is down approximately 15% from December of 2011 as reported. It's also down 6% on a comparative basis, which takes into account our current debt of $250 million. Effectively managing accounts receivable, inventory and accounts payable is very important to us, and our ongoing progress with these key accounts has had a tremendous impact on improving our working capital position and cash flow. Our balance sheet remains in excellent condition at December 31, 2012. Our total debt at year end remains unchanged at $500 million. The $250 million of total debt that's due in November of 2013 is accounted for as current debt at the end of December 31. While we have not announced any specific plans for this debt beyond the due date, we will most likely renew the debt amount later this year. There's another $250 million debt that is due in November of 2016. Our total debt to total capitalization at December 31, 2012, was 14.3%. And although comfortable with our current capital structure, we want to remind you that in September of 2012, we entered into a multicurrency syndicated credit facility agreement for $850 million. This agreement, which carries a 5-year term and an interest rate of LIBOR plus 75 basis points, replaced the $350 million unsecured revolving line of credit that was scheduled to mature in December of 2012. This new facility provides us with expanded borrowing capacities to support our growth opportunities as may be needed from time to time. There were no amounts borrowed under this new agreement at December 31, 2012. The company continues to generate solid cash flows. And as we mentioned earlier, 2012 was a very strong year for us. Cash from operations reached over $900 million, a new record for us. And free cash flow, after deducting capital expenditures and dividends, was approximately $500 million, also a new record. The continued strength of our cash flows is encouraging, and we remain committed to several ongoing priorities for the use of our cash, which we believe serve to maximize shareholder value. Our first priority for the cash is the dividend, which we have paid every year since going public in 1948 and we've now raised for 57th consecutive years effective with yesterday's board approval of a $2.15 per share annual dividend for 2013. This represents a 9% increase from the $1.98 per share paid in 2012, and it's approximately 52% of our 2012 earnings per share. This is well within our goal of a 50% to 55% payout ratio. Our goal would be to maintain this level of payout ratio going forward. Our other priorities for cash include the ongoing reinvestment in each of our core businesses. Strategic acquisitions where appropriate and share repurchases. Our investment in capital expenditures was $30.4 million for the fourth quarter. And for the full year, total CapEx spending was $102 million compared to the $103.5 million for the same period in the prior year. This was at the low end of our expected range for 2012. And based on the timing of certain projects and overall plans for this year, we expect our cash use for CapEx for 2013 to be in the range of $115 million to $135 million. The vast majority of these investments will continue to be weighted towards productivity-enhancing projects, primarily in technology. Our depreciation and amortization was $25.1 million in the quarter, and it's $98.4 million for the year, which is up slightly from 2011. Turning to 2013, we would anticipate another increase primarily related to amortization and also the increased capital spending. We are currently expecting depreciation and amortization to be approximately $105 million to $115 million for the full year. Strategic acquisitions continue to be an ongoing and important use of our cash for us, and they're integral to growth plans for the company. Our investment in Exego and Quaker City in the Automotive Group, as well as a small acquisition in the Electrical Group, performed as planned throughout 2012, and we're encouraged by their continued growth opportunities. We will remain active in seeking new acquisitions for our businesses in 2013, generally targeting those bolt-on types of acquisitions with annual revenues in the $25 million to $125 million range. Finally, in 2012, we used our cash to repurchase approximately 1.4 million shares of our common stock under our share repurchase program. We have another 12.2 million shares authorized and available for repurchase today. While we have no set pattern for these repurchases, we would expect to be active in the program again in 2013 as we continue to believe that our stock is an attractive investment and, combined with the dividend, provides the best return to our shareholders. In closing, we want to be sure and thank all of our GPC associates for the great job they are doing. Another year of record sales and earnings is a great accomplishment and one we are very proud of. The company entered 2013 well positioned for continued growth in our businesses. And as always, we'll support our growth with strong cash flow, a healthy balance sheet and further maximizing our return to shareholders. Tom?
Thomas C. Gallagher: Thank you, Paul, Jerry and Carol. And Jerry, once again, thank you for being such a significant contributor to the overall success of Genuine Parts Company over the years. We wish you and Cheryl the absolute very best in the years ahead. Now summarizing our view on 2012, we feel that the GPC team has a lot to be proud of. Among the positive accomplishments this past year where sales, net profit and earnings per share records and operating margin improvement of 40 basis points to 8.3%. Cash from operations and free cash flow set new records as well. Working capital was reduced roughly 6%, and working capital efficiency improved to an all-time low. Both return on average assets and return on invested capital also showed nice improvement once again in 2012. And with the actions taken yesterday by our board, dividends have been increased for the 57th consecutive year. So we feel good about the GPC team's achievements in each of these areas. The one area where we did not perform as well as we would have liked is on the growth side. After being up 11% in both 2010 and 2011, we went into 2012 expecting more than a 4.5% sales increase. But after a solid first quarter, we saw moderation as the year progressed, reflective of the overall industry slowdown that we saw in our respective businesses. As we look towards 2013, we see market conditions being quite similar, at least over the first half to what we experienced in the second half of 2012, and our expectation is for modest growth in each of the 4 industries that we operate in during the first half of the year and a bit stronger growth in the second half. This seems to be consistent with the general consensus for the overall economy in the year ahead. With that said, our expectation is for revenue growth in Automotive for the full year of 5% to 7%; Industrial 4% to 6%; Electrical, also 4% to 6%; and Office Products 1% to 3%. And this would give us total revenue growth of 4% to 6% for the year. And with revenue growth at this level, our guidance would be for earnings per share to be in the $4.30 to $4.40, which will be up 6% to 9% over the $4.05 earned in 2012 prior to the curtailment gain. So that will conclude our prepared remarks. And at this point, we'll turn the call back over to Chris for your questions. Chris?
Operator: [Operator Instructions] Your first question comes from the line of Chris Horvers with JPMorgan.
Christopher Horvers - JP Morgan Chase & Co, Research Division: Congratulations, Jerry. We'll certainly miss you out on the road and on the calls.
Jerry W. Nix: Thank you, Chris.
Christopher Horvers - JP Morgan Chase & Co, Research Division: Wanted to start with the Automotive side. It was really encouraging to hear that the northern part of the country is starting to see some improvement and starting to see it in batteries and rotating electrical. As you think about last year, I mean, did you see a lot of pull-forward in spring demand because of the warm weather in January, February, March? And does that mean that we have to sort of wait to 2Q for some of these trends to really emerge and see some acceleration in the top line in Auto?
Paul D. Donahue: Yes, Chris, this is Paul. Just a couple of comments, and your question is a valid one. Our 3 divisions that make up the northern tier, the Central, Eastern and Midwestern division, they had a very solid first quarter last year. And absolutely looking back now, we can see that business was pulled forward because sequentially then, Q2, Q3 and Q4 were soft and mid- single-digit soft in the Q3 and Q4. But I am pleased to see -- again, it's only 1 month, but those 3 divisions have rebounded nicely in the month of January, led really by the Midwest division, which is up significantly. So we're cautiously optimistic, Chris, that we're going to see some growth out of the northern half the country this year.
Christopher Horvers - JP Morgan Chase & Co, Research Division: And have you seen much on the brakes and rotor side?
Paul D. Donahue: Brakes and rotors was a challenging category for us last year. We put some things into place that we hope we'll see a rebound in 2013, but that was one of the categories that absolutely was impacted in 2012. And Chris, you mentioned batteries and rotating electrical on the flip side, those are very strong for us in 2012 as we're a few other categories, like tool and equipment for instance and our filter business was good last year. So we're hoping to see and we plan to see our brake business come back in 2013.
Thomas C. Gallagher: Paul, I think that -- Chris, sorry, I'd just add to that, we did not see any material improvement in the brake and rotor business in January. And our expectation is we'll start to see some improvement as we work our way through the year.
Christopher Horvers - JP Morgan Chase & Co, Research Division: Perfect. And then on the EBIT margin side in Automotive, could you delve into that a little more closely in terms of what drove that expansion? Was that Quaker synergies? Was that vendor allowances? Certainly, there was some upside surprise there, so just wanted to get some details.
Jerry W. Nix: Chris, this is Jerry. We had favorable inventory gains in the fourth quarter, and you'll see where -- that's where most of that margin improvement. They were up 50 basis points through the 9 months. They also had significant cost reduction initiatives taken place, and they took $20 million, $25 million of cost out. So between -- and there were some year-end write-backs, we accrued bad debt expense based on a percent of sales. And our bad debt expense, when we got down to actual write-off, was less than it was the prior year. So those are the 3 major contributors to that improvement.
Christopher Horvers - JP Morgan Chase & Co, Research Division: And how should we think about EBIT margin expansion going forward? Or how much of that is sustainable?
Jerry W. Nix: Well, look, the cost reductions that they took out are sustainable and they also have additional cost reductions in place now. I'm certain that we're not going to show that kind of improvement in our bad debt expense coming off, but we should see another 10, 20 basis points operating margin improvement. That's always what we look for.
Operator: The next question comes from the line of Greg Melich with ISI.
Gregory S. Melich - ISI Group Inc., Research Division: Jerry, again, congrats and thanks for everything.
Jerry W. Nix: Thanks, Greg. I appreciate it.
Gregory S. Melich - ISI Group Inc., Research Division: Cathy (sic) [Carol], you mentioned inventory was up 2% when you adjust the balance sheet for acquisitions. Could you give us the payables and receivables as well adjusted for acquisitions?
Carol B. Yancey: The impact on the payables was not as significant. It's about $50 million on the payables line. And on receivables, it was about $30 million on the receivables line. But clearly, the bigger number was on the inventory line. Most of our receivables improvement was really as a result of some of our improved terms with our vendors that we talked about. That really drove the bulk of that increase.
Thomas C. Gallagher: On the payables.
Carol B. Yancey: On the payables.
Gregory S. Melich - ISI Group Inc., Research Division: And then, Paul, a little bit on the sales trends you saw on the fourth quarter. If I remember, there were some nuances of a day shift in terms of sales. Thought we might get back in the fourth quarter, and it seems like we didn't if we look at the comp store sales. Could you help us sort of understand that sort of flattish comp versus up a little bit in the third quarter and what really drove that sequential decline?
Paul D. Donahue: Yes, Greg, good question. And you're right, there was an extra billing day in the quarter. What I think we may have underestimated a bit was how the holidays fell this year versus last year, with Christmas falling on a Tuesday versus a Sunday prior year. We may have given back a portion of or all of that extra day that we got in the quarter. So I think we underestimated that a bit. December was soft for us, there's no doubt. And when we reported last, we were coming out of the month of September, and we saw a nice increase in the month of September. And certainly, we're hopeful that, that was going to carry on into Q4. But certainly, that wasn't the case. And again, I think that the initiatives that our team has in place going into 2013, we're optimistic about -- cautiously optimistic about getting our sales back in line in 2013.
Gregory S. Melich - ISI Group Inc., Research Division: Great. And lastly, on inflation-deflation [indiscernible] in Auto, in particular, the negative 0.3, that was the same as the third quarter. Could you give us some insight as to where you think that will play out this year? Do we go back to a little bit of inflation in Auto Parts?
Thomas C. Gallagher: Greg, this is Tom. I'll try to answer that. At this point, I would say that we may get a little bit more inflation across each of the businesses in 2013. Automotive, we are seeing some discussion about price increases as we work our way a little deeper into the year. So I would expect that we will have modest inflation in Automotive but not materially so.
Operator: Your next question comes from the line of John Lovallo with Bank of America.
John Lovallo - BofA Merrill Lynch, Research Division: Jerry, best of luck to you.
Jerry W. Nix: Thanks again, John.
John Lovallo - BofA Merrill Lynch, Research Division: Okay, to start off, from the industrial customer -- from your industrial customers, do you get a sense that the uncertainty that they're talking about is really attributable to government policy and kind of uncertainty around that? Or is it really more core to the business environment?
Thomas C. Gallagher: I think it's more the former than the latter. There is a heightened sense of concern with the unknown at this point. And it might be helpful to you to know that on our project work, we've not seen any cancellations to this point. But we have seen these be pushed out 1 quarter or 2, which I think, again, underscores the uncertainty. I think people are saying, until we get a little more clarity, we're just going to be very cautious in how we spend money. So the fact that we're being pushed out could eventually lead to some cancellations. But at this point, we've not been notified of any.
John Lovallo - BofA Merrill Lynch, Research Division: That's helpful. And then given that there could be some top line pressure in Industrial and EIS, at least in the first couple of quarters, is there anything you can do from a cost structure basis to kind of offset that?
Thomas C. Gallagher: Well, yes, and I think our teams have done a good job over the last couple of years in helping to reduce our cost structure. And when we see periods like this where things seem to slow up a bit, then they tighten up on the cost side a bit as well. So there are some actions already underway to try to keep cost more in line with where the revenue is going to be.
John Lovallo - BofA Merrill Lynch, Research Division: Great. And then one last one, just on the interest expense guidance, I missed that. Would you mind repeating that, please?
Carol B. Yancey: Well, we currently estimate interest expense to be around $20 million for 2013, with the two $250 million tranches we talked about.
Operator: Your next question comes from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Scot Ciccarelli. I know you said there was a sizable difference between, let's call it, traditional cold weather markets and the rest of the business for Auto. Can you get any more specific than that?
Paul D. Donahue: Scot, this is Paul. The impact in Q4 was about 300 basis points impact.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: So that's a more narrow gap than what we've seen over the last couple of quarters. Correct?
Paul D. Donahue: Well, actually, it's fairly consistent. We're running down in those 3 divisions -- I'm talking about the impact on the overall business. So those 3 divisions of our company, we're running mid- single digit down in Q4 versus a slight uptick in the balance of our business.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: I see. Okay, understood.
Paul D. Donahue: But you understand the overall impact?
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Yes, okay. That's kind of what I was trying to get to. Okay. And then also just regarding -- I know we talked about the Auto EBIT margins a little bit. We did see the EBIT margin for Industrial compress a little bit. What's the right way to think about that going forward? I mean, is that another basis point improvement like we expect in auto? Or will the current revenue trends maybe prevent that from occurring this year?
Thomas C. Gallagher: Scot, this is Tom. I would say that, first of all, our expectation is that the revenue trends will improve somewhat as the year progresses. But I think in terms of modeling, I would look for a 10 to 20 basis point improvement in the Industrial margins for the full year.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: And is that because that's going to be natural leverage? Is that because you guys are trying to take cost out like you took out of Auto? Just trying to figure out what's the -- what are the various moving pieces there, Tom?
Thomas C. Gallagher: Well, we're counting on a little bit stronger revenue growth, not so much in the first quarter or 2, but more so in the second half of the year. There are ongoing cost containment, cost reduction initiatives that are taking place there. There's a fair amount of work that's being done on the margin side of the business, the gross margin side of the business. So hopefully, we'll see a little bit of improvement in that through the course of the year. So there are a number of levers that are being pulled on simultaneously to try to ensure that we have show margin improvement. I think if you go back and look at the Industrial performance sequentially over the course of the year. Q1 and Q2, we were running pretty strong revenue increases, 12% and 8%, respectively. And then we saw really good margin improvement through the first half of the year, and then we gave that back and then a little bit more as we got to the back half of the year. But our expectation is maybe the inverse for 2013.
Operator: Your next question comes from the line of Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Jerry, I will miss you very much. It's always a pleasure working with you over the years.
Jerry W. Nix: Thank you, Matt. You're the man.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: So first of all, on Automotive. Obviously, we've picked this sector over a bit already this morning. But if you look at differences in DIY or retail and the traditional commercial business, anything related to car age and sort of the target customer -- target car, that is, within those segments that as you look at the numbers and the stagnancy in retail that you think might be kind of attributable to something structural like that?
Thomas C. Gallagher: Matt, this is Tom. I don't think there's anything that's changed significantly enough to cause any material change in the performance over a short span of time. Paul mentioned in his comments on the commercial side of the business, if we move fleet aside for a moment, and I'll come back to fleet in a moment, but if you move that to the side in the quarter, our non-fleet-related commercial business was actually up mid-single digit, which I think in the current environment is a pretty good performance. But what we've seen on that side of the business is that we see that our ticket value has increased some, but the ticket count is actually flattish. So that would indicate to us that it's somewhat driven by consumer discretionary spending habit at this point. If we go over to the fleet side of the business, the fleet side of the business actually started to show signs of moderating as we get deep into the second quarter of the year and then quarters 3 and 4, the fleet business actually had a little bit of deceleration. And that's consistent with what we see across the industry and is consistent with what we see in some of the indices. If you look at the transportation service index, you'll see that, that decelerated sequentially as the year progressed and actually went into negative territory in the latter part of the year. So I don't think at this point we've seen any material change structurally in the business. I think it may be more driven by consumer spending. And I think that may continue for another quarter or 2 as we continue to digest the effect of maybe some higher fuel prices and also the increased payroll tax that people are adjusting to.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Tom, either for you or Paul, to the extent that you've seen some recovery in cold weather markets and cold weather products, is that happening evenly across both retail and commercial? Or is it biased towards one of the segments?
Paul D. Donahue: Matt, this is Paul. At this point in time, it's early. But at this point in time, it's certainly more on the commercial side than the retail side.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: I'm curious kind of functionally, given that everyone's cars kind of do the same thing. Is it because of the kinds of transactions that are driven by cold weather, perhaps failure tend to show themselves more at commercial? Or will there be some other reason for that?
Thomas C. Gallagher: I think a part of the reason, Matt. But the other thing is I think the commercial is a bit stronger in the areas that we're talking about, and retail maybe a bit stronger in the Sun Belt-related areas.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Great. And then just a final cleanup question on the guidance side, the $4.30 to $4.40 of 2013 EPS. Is there buyback assumption embedded in that number, please?
Thomas C. Gallagher: No. Our buyback plan, Matt, just to further amplify, at a minimum, we want to buy back the number of shares that we issue under our long-term incentive grants. We want to avoid any dilution there. So I think you could model something along the lines of $1.2 million, $1.3 million in line with what we did this year.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: But there's no embedded share count reduction above and beyond that in that number?
Thomas C. Gallagher: No.
Operator: Your next question comes from the line of Brian Sponheimer with Gabelli & Company.
Brian Sponheimer - Gabelli & Company, Inc.: To you, Jerry, again, congratulations and best wishes.
Jerry W. Nix: Thanks again, Brian.
Brian Sponheimer - Gabelli & Company, Inc.: Just want to talk about Exego for a couple of minutes here. Just from a point of clarification, that's now on the other line as far as when you're breaking out your operating segments, correct?
Carol B. Yancey: Yes, yes.
Thomas C. Gallagher: That's right.
Brian Sponheimer - Gabelli & Company, Inc.: First of all, how are we trending on Exego as far as hitting your targets for profitability where you consider rolling up the business?
Thomas C. Gallagher: They're actually ahead of plan. And if we go back to our original expectation, we thought that they would get to the level sometime late 2013 or early 2014. They're actually going to get there a little bit sooner, and it will be at that point that we'll have a decision to make. And just so you understand from the point that they actually hit the threshold, we've got up to 6 months to exercise our right.
Brian Sponheimer - Gabelli & Company, Inc.: All right. Terrific. And then -- most of my questions have been answered, but there's speculation about 2 of your major customers in the Office Products side potentially getting together. If this were to be the case, do you think you'd see some pricing pressure within the Office Products division that could potentially hurt your margins?
Brian Sponheimer - Gabelli & Company, Inc.: Well, that's speculative at this point. I'd say, first of all, this has been something that has long been speculated, and it appears that there's some substance to it right now. Looking at the medium to long term, if there's excess capacity in the industry and it gets taken out, I think that's fundamentally healthy for the industry. In terms of 3 competitors going down to 2, that might lead to a bit more rationale competition among those 3. How it plays out and how it backs up on us, I can't answer that at this point. But our general sense is that if it's something that's fundamentally good for the overall business and the industry then, eventually, it's going to be good for us.
Operator: And your next question comes from the line of David Gober with Morgan Stanley.
David Gober - Morgan Stanley, Research Division: Just a quick one on gross margins. Just wanted to try to parse out where you saw a little bit of the gross margin compression in the quarter. I mean, obviously, Industrial and EIS were the 2 segments that saw overall margin compression. Is that where gross is under pressure as well? And if so, what was the kind of the key driver, was it fixed cost deleverage or something else in those segments?
Thomas C. Gallagher: No, first of all, I wouldn't focus too much on the quarter. I'd suggest that maybe we focus on the full year, and we were able to show some gross profit improvement for the full year, 9 basis points. Not an overwhelming improvement, but after 2 years of modest decline, I think the team generally did a pretty good job of stabilizing the gross margin and then bringing it back. In Jerry's comments, he mentioned that one of the contributing factors in the quarter what that we did not have the volume incentive rebates to the degree that we had them in the Industrial segment, so we didn't have the benefit of that. And we also didn't use the balance sheet to prop up the income statement because we didn't go out and make big buys at the end of the year to try to capture some of those. Carol referenced in her comments that without the Quaker City acquisition, our inventories were up 2%. So I think as a general statement, our folks did a good job of keeping inventories under control, and we probably gave up opportunities on a little bit of gross profit enhancement. But we felt it was prudent to operate the way we did operate in the fourth quarter. And I'd say in terms of modeling, you might model in that gross profits will be at least equal to what they were this past year. And frankly, we're planning on a modest improvement again in gross profit in 2013.
David Gober - Morgan Stanley, Research Division: That's very helpful. And not to beat a dead horse on the Auto Parts business. But Paul, I was wondering if you could kind of walk us through maybe what you're seeing on the DIY part of the business in terms of the decline in the fourth quarter by category. Are you seeing discretionary categories that are weak? Or is it really more of the weather-related categories there maybe just different because of regional concentrations?
Paul D. Donahue: Yes, David. It is more of the discretionary. And our retail business, as I stated in my opening comments, we're certainly not pleased with our retail results. I do believe they're fairly consistent both across our industry, as well as retail in general has been under bit of pressure. But I will tell you that we have a number of initiatives in place as we go into 2013, and I would hope that some of the things that we've put in place would begin to move the needle back in a positive direction for us.
Thomas C. Gallagher: David, I would just add that -- Paul mentioned it in his earlier comments and that is that the average ticket size is actually up a little bit on the retail side, which is very encouraging to us. But we have seen a modest decline in ticket count, so I think a challenge for us is to generate a bit more foot traffic. And that in itself will help the overall retail business.
Paul D. Donahue: And just a follow-up to that, David, we are certainly optimistic. We launched a new advertising campaign post Super Bowl that we fully expect will drive some traffic, and we'll follow up with an additional ad campaign starting as NASCAR kicks off by this Sunday at Daytona.
Operator: Your next question comes from the line of Bret Jordan with BB&T Capital Markets.
Bret David Jordan - BB&T Capital Markets, Research Division: This one maybe for Carol a bit. As you talk about working capital management, extending payables, do you have sort of an initial target where you're thinking you're taking the AP inventory ratio to 2013?
Carol B. Yancey: We don't really have a target. We look for continued improvement on that line, maybe not all that we had this year. But we certainly expect to have a continued improvement on that line, but no specific targets.
Bret David Jordan - BB&T Capital Markets, Research Division: And then sort of shifting back to the last question that was just asked on the DIY side of the business. Do you have a feeling, I guess, sort of market share wise, is your performance regionally sort of -- are you getting the feeling that's in line with peers? Or is there aggressive pricing coming out of some of the competitors in the market, either to maintain or enhance their DIY share that may be limiting some of your comp store sales regionally?
Paul D. Donahue: Bret, this is Paul. I think pricing with our peer group has been fairly rational this year. We don't see it in any particular market being any more difficult than another particular market. Again, I think retail in general and the retail consumer is under a bit of stress. Certainly, as Tom mentioned earlier, the payroll tax, that 2% is going to have an impact on some of those -- that walk-in traffic. But again, we've taken on as our responsibility in a tough environment, we've got to go out, be aggressive and take some market share. And that's our plan.
Operator: Your next question comes from the line of Keith Hughes with SunTrust.
Keith B. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Most of my questions have been answered. But just quickly, could you tell me how much acquisitions contributed in the Industrial and Electrical segments in the quarter?
Carol B. Yancey: Well, Industrial didn't have any acquisitions in the quarter. And Electrical had that small acquisition, Light Fab, that we talked about earlier but it's really immaterial. It's certainly on the balance sheet, and there was just some incremental revenue in earnings as well.
Operator: Your next question comes from the line of Richard Hilgert with MorningStar.
Richard J. Hilgert - Morningstar Inc., Research Division: Jerry, let me add my congratulations and hope you're blessed with many years of happy retirement.
Jerry W. Nix: Thank you very much, Rich.
Richard J. Hilgert - Morningstar Inc., Research Division: Wanted to kind of drill down a little bit more on the fleet business in Auto. You mentioned during the call that you saw that steadily decline as the year progressed. You also mentioned earlier in the call that some of the uncertainties surrounding government regulation and taxes is causing some reticence among businesses. I'm wondering if those 2 are related? And also as time progresses and as these fleets vehicles age, are we going to see them catch up with repairs first before they start replacing vehicles in those fleets?
Thomas C. Gallagher: Well, taking the first part, I don't think we have any statistical data that can make a direct correlation between the uncertainty surrounding what's happening in Washington and maybe some of the freight or transportation indices. But one would have to think that there is some inter-connectivity between those 2. If people are deferring or delaying certain purchases, eventually that has to result in some downward movement in the amount of product that's being shipped. The TSI index, just as a point of information, includes over-the-road trucking, it includes rail and it includes barge, it includes aviation. So it's a pretty comprehensive index, and it has been showing signs of deceleration as the year progressed. The second part in terms of the continued aging of the fleet, at some point, those vehicles are going to need some level of repair. What we have seen over more recent times is that if it affects safety or drivability, we're seeing expenditures being made. But if it's at all something that's discretionary, we see more judgment coming in terms of whether or not the repair is going to be made. So I think as long as those vehicles continue to age, it will continue to drive demand for replacement parts.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay. The second area I wanted to get a little bit more color on was in the Office Products Group. An earlier question kind of hinted a little bit at it, but it seems to me that pricing pressure is going to continue going forward and that the OfficeMax and Office Depot combination, if it were, in fact, to happen, would happen because they're seeking to get obviously some efficiencies of scale and be able to better compete in the industry because you've got Walmart stores, Costco, you've got Amazon all entering into that space. So your comments earlier said that you saw I think you said it was a 2.7% increase in pricing in Office Products during the year. And I'm wondering, is that because you're focusing in areas outside of what the other players are doing? As you mentioned, you're in furniture and you're in cleaning and break-room. And I'm wondering if those other competitors might start looking at those areas?
Thomas C. Gallagher: Well, we'll try to take them maybe in reverse order. In terms of the product categories that we're in, all of these companies are in each of these categories to one degree or another. In terms of the 2.7% inflationary impact on Office Products, that's calculated based upon manufacturer price increases to us, not necessarily our price increases out to our customer base. And then looking at the potential acquisition or combination of Office Depot and OfficeMax, obviously, they see enormous potential for synergies, and I think they run into a number of different categories. They're not just purchase price synergies. I think they're going to wind up being, perhaps even greater, in the non-procurement side of the business just because of the redundancy that exists today with the 2 freestanding companies.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay. But it's still reasonable to assume that with a company like Amazon getting into this space, we're going to see more pricing competition because of online getting into it?
Thomas C. Gallagher: Well, it would seem so. But keep in mind that we already are a provider of product to online resellers. Many of our customers have online presence. Staples, I think, would be second only to Amazon in terms of their online business. So the fact that we have a new entrant does not mean it's new to the industry. This is something that's been around for a while, and I think it's reasonable to say that they will put some pricing pressure in the different channels. But we've already been competing, and our customer set has already been competing with very, very good e-tail companies that are out there today.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay. Great, great. And just a last housekeeping item, the $23.5 million gain from the pension that's in the SG&A. I was wondering, is that divided up amongst the segments? Or is that primarily in the Automotive segment operating income?
Carol B. Yancey: All of the pension curtailment gain, the $23.5 million, is in the other line. So it is not in the segments.
Operator: And that's all of the allotted time that we have for questions. I will now turn the call back to management for closing remarks.
Thomas C. Gallagher: Well, thank you, all, very much. We appreciate you joining us on the call today. We look forward to giving you more of an update as we work our way through the first quarter. And we'll close again by thanking Jerry Nix for 34 outstanding years and wishing him the very, very best in the years going forward.
Jerry W. Nix: I thank each of you as well. It's been a great ride. And you've got a great stock that you're holding here and look forward to continuing to progress.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.